Operator: Hello, everyone, and welcome to today's Corebridge Financial fourth quarter 2024 earnings call. My name is Seb, and I will be the operator for the call today. If you would like to ask a question during the Q&A session, please press star one on your telephone keypad. If you would like to withdraw your question, please press star two. I will now hand the floor over to Isil Muderrisoglu to begin. Please go ahead.
Isil Muderrisoglu: Good morning, everyone, and welcome to Corebridge Financial's earnings update for the fourth quarter and full year 2024. Joining me on the call are Kevin Hogan, President and Chief Executive Officer, and Elias Habayeb, Chief Financial Officer. We will begin with prepared remarks by Kevin and Elias, and then we will take your questions. Today's comments may contain forward-looking statements which are subject to risks and uncertainties. These statements are not guarantees of future performance or events and are based upon management's current expectations and assumptions. Corebridge's filings with the SEC provide details on important factors that may cause actual results or events to differ materially from those expressed or implied by such forward-looking statements. Except as required by applicable securities law, Corebridge is under no obligation to update any forward-looking statements if circumstances or management's estimates or opinions should change. And you are cautioned to not place undue reliance on any forward-looking statements. Additionally, today's remarks may refer to non-GAAP financial measures. The reconciliation of such measures to the most comparable GAAP figures is included in our earnings release, financial supplement, and earnings presentation. All of which are available on our website at investors.corebridgefinancial.com. With that, I would now like to turn the call over to Kevin and Elias for their prepared remarks. Kevin?
Kevin Hogan: Thank you, Isil, and good morning, everyone. Since our IPO two years ago, Corebridge has consistently generated strong top-line results and bottom-line growth, delivered on commitments, and made great progress executing on our strategy. We are capitalizing on favorable industry dynamics and attractive market opportunities while navigating persistent inflation, volatile markets, and the prospect of lower interest rates. This success is a testament to our leading market positions, diversified business model, strong balance sheet, and disciplined execution. Turning to slide three, at the time of our IPO, we established several financial goals to chart our performance as a new public company. Achieve an adjusted ROE of 12% to 14%, a payout ratio of 60% to 65%, and maintain a Life RBC ratio at or above 400%. These initiatives have been supported by our efficiency program, Corebridge Forward, with the further goal of reducing our run-rate expenses by $400 million. I am pleased to report that we met or exceeded each of these goals while positioning Corebridge for long-term success and establishing financial and operational independence. We grew run-rate ROE over 300 basis points, firmly landing within our range of 12% to 14%. Strong top-line growth, margin expansion, and lower expenses combined with the investments we made in our operating model positioned us to capitalize on historic opportunities. We also improved our quarterly run-rate operating earnings per share by 35%, with approximately two-thirds of that improvement from earnings growth and one-third from capital management. For the payout ratio, we exceeded the original target by a significant margin. Since the IPO, we delivered a cumulative payout ratio of 73%, returning $4.9 billion to shareholders over that time, an amount equaling 36% of our market cap at the IPO. And we repurchased 14% of our outstanding shares over that same period. Importantly, we actively maintain strong financial flexibility while delivering robust growth in our businesses. In terms of expenses, we achieved our target on $400 million of run-rate savings ahead of schedule, with $350 million earned to date. Over the last two years, we reduced expenses by 13% on a comparable basis. As a result of this work, our expense ratio is in the top quartile across our industry, and we remain diligently focused on further improving our operational efficiency. Finally, we have consistently demonstrated financial discipline. Our regulatory capital levels have exceeded the 400% target as we proactively manage our high-quality assets and liabilities while maintaining strong parent liquidity. Moving to slide four, we have built a solid foundation since the IPO. 2024 was another successful year for Corebridge. I will review our full-year results, and Elias will cover the fourth quarter. In 2024, Corebridge increased full-year operating earnings per share by 18% year-over-year to $4.83. We grew ROE to 12.8%, and on a run-rate basis, ROE improved over 100 basis points year-over-year to 13.2%. At the same time, in 2024, we returned $2.3 billion to shareholders. Additionally, excluding notable items and the sale of our UK Life insurance business, we grew core sources of income by 4%, seeing improvement across all three sources. Corebridge achieved these positive results through our focus on four strategic pillars: organic growth, balance sheet optimization, expense efficiencies, and active capital management. To drive organic growth, we worked with our extensive network of distribution partners and leveraged our broad suite of products and services. Our businesses continued to thrive as we fulfilled strong customer demand. We delivered robust sales volumes in 2024, with premiums and deposits of $41.7 billion, a 5% increase over what was a very strong 2023. Our distribution platform remains an important differentiator for Corebridge. We have, for many years, taken a long-term approach to our distribution partnerships, which has created active, productive, and long-lasting relationships. The insight we have into our partner strategies is key. With this insight, we can more effectively meet the needs of their clients and manufacture products that align with their business plans, giving us the opportunity to compete beyond price. Customized products and specialized strategies have been essential to our success and represent an important part of our product development emphasis. With the fourth-quarter launch of our MarketLock, registered index-linked annuity, or RILA, Corebridge now has offerings in every major product category. We are proud of our broad product range and recognize the value of choice for financial professionals. Our second pillar is balance sheet optimization, which includes strategic use of reinsurance, strong asset origination, and proactive management of our portfolio of high-quality assets and liabilities. We launched our Bermuda-affiliated reinsurers strategy in July and began seeding fixed and fixed-index annuity new business. By year-end, we added both in-force and new business for structured settlements and term life. In total, we have seeded just over $12 billion of reserves to our affiliate in Bermuda. Relative to asset origination, our unique investment platform, which includes our own internal teams and our external partners, Blackstone and BlackRock, has been instrumental in sourcing attractive, high-quality assets. These investments support our target returns and product management, and collectively, we sourced over $43 billion of assets in 2024. We continue to develop new and expanded asset strategies and maximize the value of our strategic partners. This work has improved credit quality while enhancing income and yield, also supporting increased levels of new business volume. Our third pillar is expense discipline. We are very focused on expense management and operational efficiency. Corebridge delivered in 2024, with full-year GOE lower by 4% over the prior year on a comparable basis. Looking forward, we see more opportunity as we further digitize end-to-end processes that support our insurance operations and begin to build on the significant investments we made as part of our separation process to further modernize our finance and actuarial capabilities. Our fourth strategic pillar is active capital management. In 2024, we increased full-year dividends from our US insurance subsidiaries by 10%, supporting a full-year payout ratio of 81%, or 62% excluding proceeds from the sale of UK Life. Corebridge is proactive with balance sheet and capital management to ensure we deliver on our financial goals while also pursuing profitable growth and creating financial flexibility. Reflecting the strength of our financial position and our continuing commitment to an attractive return for shareholders, I am pleased to announce that our Board of Directors increased the existing share repurchase authorization by $2 billion and increased the quarterly dividend to $0.24 per share. Corebridge will continue to build on these four pillars: organic growth, balance sheet optimization, expense efficiencies, and active capital management to generate further growth and shareholder returns. As we look ahead, we expect our annual run-rate EPS to increase on average in the range of 10% to 15% over the long term, but this growth will not be linear. In some years, the increase may be higher, and in others, lower. Based on current expectations for short-term interest rates, we may see some pressure during the year as we manage our floating rate portfolio, but we view this as only temporary. Additionally, as we look ahead, we expect dividends from our insurance companies to increase another 5% to 10% in 2025. And now I will hand it over to Elias to cover our fourth-quarter results.
Elias Habayeb: Thank you, Kevin. I will begin my remarks today on slide five. The fourth quarter was a continuation of our strong performance, fueled by organic growth, balance sheet optimization, expense efficiencies, and active capital management. Corebridge reported fourth-quarter adjusted pretax operating income of $878 million, or operating earnings per share of $1.23, an 18% increase year-over-year on a per-share basis. Our operating EPS included one notable item this quarter, resulting in an unfavorable impact of $0.02. Details can be found in our earnings presentation. Annualized alternative investment returns were three cents short of our long-term expectation. This reflected positive trends across traditional private equity, hedge funds, and real estate equity as returns improved in 2024, with activity slightly picking up in the second half of the year. Adjusting for notable items and alternative investment, we delivered a run-rate operating EPS of $1.28, an 11% increase year-over-year on a comparative basis. Moving to slide six, the diversity in our sources of income allows Corebridge to consistently deliver attractive financial results under different market conditions. Core sources of income, excluding notable items, grew 4% year-over-year, driven by increases in fee income and underwriting margin. Fee income, which comprises approximately 30% of our core sources of income, improved 10% as a result of higher account values along with our growing advisory and brokerage business. On a comparable basis, underwriting margin improved 22%, driven by more favorable mortality experience. Base spread income declined 5% from the strong levels of the previous year, driven by the impact of net outflows in our group retirement business as well as the impact from changes in short-term interest rates and related hedging activities to maintain alignment between assets and liabilities. The sequential decline was in line with the interest rate sensitivities we shared last quarter. We anticipate the impact of changes in short-term interest rates, along with the related hedging activities and the runoff of our floating rate portfolio, will only be a near-term headwind. Underlying base spread income continues to be strong, driven by general account growth and higher new money yields. Overall, Corebridge continues to fire on all cylinders, and the combination of our diversified market-leading businesses working together continues to be a key component of our shareholder value proposition. Before moving on, I want to spend a moment on highlights from each of our businesses. For purposes of this discussion, results exclude the impact of notable items, variable investment income, and the sale of our international life business. In individual retirement, adjusted pretax operating income declined 7% year-over-year, primarily driven by base spread compression arising from the impact of changes in short-term interest rates and related hedging activities on floating rate asset exposure. Strong sales in the quarter reflected pricing discipline, and the $5 billion of premiums and deposits represents another very good quarter. Our broad product suite allows us to fulfill not only growing consumer demand but also evolve with changes in customer appetite, serving as a meaningful differentiator. General account net inflows of $1.6 billion in the fourth quarter further demonstrate the value of our origination capabilities, product portfolio, and distribution network. Full-year net inflows were $6.9 billion, nearly double the level achieved in the prior year. The fixed annuity surrender rate dropped to 9.7% for the quarter as surrenders continue to improve from their peak earlier in the year. We expect to see our surrender rate increase in the coming year, with large blocks of fixed and fixed index annuity exiting their surrender charge period. That said, we expect continued net inflows in the general account from individual retirement. Group retirement delivered another steady quarter through its balanced contribution from spread and fee income. Both spread and fee income will continue to reflect the impact of net outflows and asset values. Advisory and brokerage sales grew 31% year-over-year, supported by some customer demand and favorable equity market performance, while out-of-plan annuity sales in the current quarter mirrored broader industry trends. We saw net outflows of $3.5 billion in the fourth quarter due to plan losses and required minimum distributions by plan participants. Excluding these two items, net flows remained relatively stable throughout the year. Looking forward, we expect first-quarter group retirement net flows to be more consistent with levels observed in the first half of 2024. Life insurance continues to be a strong performer. Adjusted pretax operating income increased more than 100% year-over-year, primarily driven by more favorable universal life mortality experience. Sales volumes continued to outpace the industry as a result of strong product positioning, investments in our digital and automated underwriting capabilities, and expanded distribution. In institutional markets, adjusted pretax operating income was virtually flat year-over-year. As a reminder, earnings from this segment may reflect some quarterly volatility, but core earnings should increase as reserves grow over time. Full-year earnings increased 17% in line with reserves. We continue to grow our FABN program as a disciplined but consistent issuer and continue to see an attractive pipeline for pension risk transfer in the coming year. Our financial results for the quarter demonstrate the benefits of multiple sources of income, as well as our ability to improve expense efficiency while also growing the balance sheet. From the end of 2022, the cumulative improvement in our operating expenses was 13%, primarily driven by efficiencies from Corebridge Forward. On a year-over-year basis, fourth-quarter general operating expenses for our insurance businesses and parent company were modestly lower after excluding the sale of our international life business and the one-time notable item. This largely was the result of savings from our expense efficiency program, offset by costs attributable to sales growth as well as some nonrecurring and seasonally higher expenses. Moving to slide seven, Corebridge remains well-capitalized with strong liquidity. We ended the year with holding company liquidity of $2.2 billion. This includes approximately $1 billion of proceeds from debt issuance in September and November that prefunds our upcoming maturities in 2025. Our disciplined and proactive balance sheet management has enabled Corebridge to pursue profitable growth while delivering our financial and capital management goals. Our US insurance companies distributed $550 million in the fourth quarter, bringing full-year distributions to $2.2 billion, a 10% increase year-over-year. At the same time, we returned $527 million of capital to shareholders during the quarter, including nearly $400 million of share repurchases. $1.8 billion of share repurchases for the full year includes proceeds from the sale of our UK Life Insurance business, which we have fully deployed. Corebridge continues to target a 6% for 2025. Our strong balance sheet, which saw asset growth of 7% year-over-year, continues to reflect a clean in-force portfolio backed by high-quality assets. We estimate our Life RBC ratio to be in the range of 420% to 430% as of the end of 2024. In conclusion, our diversified business model, transaction, and disciplined execution should continue to lead to growing cash flows, earnings, and financial flexibility, which strengthen our franchise and ultimately increase shareholder value. With that, I will now turn the call to Isil.
Isil Muderrisoglu: Thank you, Elias. As a reminder, please limit yourselves to one question and one follow-up. Operator, we are now ready to begin the Q&A portion of the call.
Operator: Thank you. As a reminder, please press star one if you would like to ask a question. If you would like to withdraw your question, please press star two. The first question is from Suneet Kamath at Jefferies. Please go ahead.
Suneet Kamath: Thank you. My first question is on base spread income. As it stands today, it's probably not unreasonable to think that the Fed is done cutting rates and could remain on hold throughout the year. With that in mind, how should we think about base spread income in the first half of 2025 versus the second half as we lapse the lagged impact of the 2024 rate cuts you previously mentioned take about two quarters to earn in?
Kevin Hogan: Thanks, Suneet, and good morning. You know, first, what I would say is just that across the board, the business conditions remain excellent. Our distribution platform is very strong and vibrant. And, you know, all of our businesses are supported by macro trends. So we expect our spread income as well as our other sources of income to grow over time, notwithstanding some of these short-term impacts of the rate reductions. You know, we provided our sensitivity to SOFR rates last quarter, and our results are consistent with that sensitivity. And, you know, let me unpack it a little bit. When the Fed cuts rates, right, it creates short-term headwinds in spread income and spreads as the floating rate assets reset. And this impact generally earns in over two quarters, like you said, some resets are within 30 days, you know, most are within 90 of the day of the cuts. So it does depend to a certain extent when the cuts occur, you know, how those earn in. I'll also add, you know, most of the effect is in our individual retirement segment as these floating rate assets are used to align the ALM profile with our liabilities that are beyond their surrender charge period. And so we saw the sequential impact in the fourth quarter, which was around $30 million. As we earlier stated, our individual retirement spreads also reflect a marginal single-digit spread compression as the new business cost of funds are lower than the in-force cost of funds. And of the 18 basis points of sequential compression, most of it was due to resets. So once the floater reset cycle earns through, we do expect spread income to continue to grow because the new business conditions, including margins, are very supportive. And we expect to continue, above all, to enjoy positive net flows in the general account, further supporting our future growth in spread income. And we are confident, you know, in achieving our financial objectives and growing not only the spread income but our other sources of income and increasing our earnings per share over time.
Suneet Kamath: Thank you. And my follow-up is on the EPS growth target of 10% to 15% that you mentioned. Is the baseline EPS we should be using for 2024 for that? Like, should we just use the reported one excluding notable items and normalizing for VII?
Elias Habayeb: Hey, Suneet. It's Elias. Yeah. I would go with the reported EPS going forward. You know, as Kevin said in his comments, we expect to grow it on average 10% to 15% per year. 2025 will be on the lighter end of that given the earned-in of the actions the Fed has already taken into consideration. But I repeat, we've got, you know, four levers on how we're going to deliver the growth in EPS, you know, whether it's organic growth, balance sheet optimization, continued focus on expenses, and capital management. So those levers that brought us to here have more upside, and we're confident in our ability to continue to grow EPS going forward. Thank you.
Operator: Our next question comes from Alex Scott at Barclays. Please go ahead.
Alex Scott: Hey. Good morning. One I have is on the cash flow. I think you mentioned that you expect some growth off of the subsidiary dividends, the whole curve that you had in 2024 as we look into 2025. And so I just wanted to see if you could help us think through the components of that. I mean, you know, the spread compression is a little bit of a headwind, but, you know, what are some of the things that are, you know, benefiting cash flow, you know, whether it's Bermuda or other things?
Elias Habayeb: Hey, Alex. It's Elias. So there are different variables that contribute to the cash generation in the insurance companies. And part of it is the diversified revenue sources we have, and that's contributed to stability in the cash flow generation over time. We're also focused on expenses and reducing expenses in the business units. And then what Bermuda does, it's another tool in our capital management toolkit that gives us financial flexibility to make sure we deliver on our capital management objectives while creating capacity to grow the business and allow us to grow earnings and cash flows over time. So the combination of those things gives us the confidence in increasing the dividend from the insurance companies while continuing to grow the business.
Alex Scott: That's helpful. Thank you. And just on the pillar that you kind of talked about with the capital optimization, now that Bermuda, I don't want to say fully behind you, but it sounds like a lot of the work's been done there at this point. I mean, where does your focus turn in terms of what's next on, you know, work that's being done there? Are you still, you know, exploring, you know, potential third-party reinsurance? Are there other things that you can do internally? I'm just interested in any color there.
Kevin Hogan: Yeah. Thanks. I mean, there's a couple of different levers relative to, you know, balance sheet optimization. We've done a lot of that work in the asset portfolio, but there continue to be some additional opportunities there. You know, as you've pointed out, I mean, reinsurance is, you know, another lever that we have available. We have been, you know, working a lot on Bermuda as an extension of our capital management toolkit. You know, in the mid-year, we started seeding the fixed annuity and index annuity new business. And towards the end of the year, we added our first in-force transaction as well as, you know, new business on structured settlements and term life. But we still have further opportunities both for in-force and new business sessions, and we continue to evaluate opportunities there. While we focused on Bermuda in 2024, we continue to evaluate potential external transactions. Some discussions, you know, are further along than others. And we continue to evaluate all options in the interest of driving shareholder value. And then, you know, the other thing I would say on balance sheet is we do expect VII to recover to our long-term expectations of 8% to 9% this year, you know, albeit the back half of the year is going to be stronger than the first half based on our expectations.
Operator: Got it. Thank you. The next question is from Ryan Kruger at KBW. Please go ahead.
Ryan Kruger: Thanks. Good morning. I wanted to come back to the EPS growth because I think, you know, I just want to make sure we get 2025 on the right basis with your expectations. So I guess given the spread pressures that I know are near-term in nature, but I guess to me, it would seem logical that your EPS growth would be less than 10% in 2025. I know you said lighter end, but I don't want to get in a situation where all assume 10%, and then consensus is too high. So can you give any more clarification on how you're thinking about this?
Elias Habayeb: Oh, yeah. So, Ryan, and I want to clarify also my response to Suneet. You know, we're looking at what's our, you know, core EPS. That's what we're targeting for growth. Right now, given the current outlook, we do think it will EPS will grow. It'll be less than 10%. There are a number of dynamics, you know, as you mentioned, spread income, but that's only like 50% of our revenue sources. You know, there's a short-term impact in the front part of the year. But if you look at our fee income and the underwriting margins we have, we do see, you know, favorable conditions for those to grow in 2025. And as Kevin said, they're on VII. We are based on the current outlook. We do expect it to recover close to our long-term expectations, and we're focused on reducing expenses, and we're also focused on returning capital to shareholders. So collectively, that will grow EPS, but we do think it could be light to the 10%.
Ryan Kruger: And sorry, I did belabor this, but the starting point, so I think you reported $4.83. Is that or are we should we be normalizing for both notable items and lower VII or what's the right basis?
Elias Habayeb: No. That would be the right basis. So adjust the VII per performance as well as adjust for notable items.
Ryan Kruger: Okay. Thanks. And then just on can you expand on the potential for further expense efficiencies? You know, I think and how, I guess, how meaningful you're thinking that could be over the next several years?
Kevin Hogan: Yeah. Thanks. I mean, first of all, what I'd say is that, you know, we have the other $50 million on Corebridge Forward that's going to earn in throughout the course of the year. And our current focus is on the, you know, our data, our actuarial and finance, and applying digitization and automation capabilities across the business. You know, on a same-store basis, we are looking to reduce our unit costs over time. We don't have any particular targets to announce at this point relative to expenses, but we continue to work through our opportunities and plans and do expect to increase our expense efficiencies over time.
Operator: Thank you. The next question is from Elyse Greenspan at Wells Fargo. Please go ahead.
Elyse Greenspan: Hi. Thanks. Good morning. My first question was on, you know, individual retirement. You guys highlighted that surrender rates would increase over the coming year. Can you just, you know, give a little bit more color, you know, about expectations there, you know, for Q1, but even, you know, throughout 2025?
Kevin Hogan: Yeah. Thanks, Elyse. Good morning. Look, you know, our experience surrender rates reflect where, you know, market interest rates and credit spreads are at any given time. Also pointing out that these are the same factors that reflect in new business volumes, and we have not seen anything in the last several cycles of surrender rates that were outside of our expectations in this respect. And we do expect that surrender rates going forward will continue to reflect that. Certainly, in the fourth quarter, based on the conditions there, we saw lower surrender rates than we have experienced in some time. What I will point out is there's a natural growth in our portfolio. We've consistently been growing index annuities for, you know, basically a decade. And the last couple of years, fixed annuity growth has been strong for several years. So that will impact the volume of product exiting the surrender charge protection, but not necessarily the surrender rates. Those surrender rates are going to reflect, you know, where the new business conditions are. And what I'd say right now is that the current environment and expectations are that new business conditions are very supportive. The margins are attractive, and we continue to expect our general accounts and spread income will grow over time. And also, I'll point out spread income is just one of our sources of income. And we're also expanding our portfolio, such as most recently with the launch of our RILA product, which is off to a great start. So, you know, the surrender rates will reflect where market conditions are. But our portfolio has been growing over time. So the amount of surrender and the amount of product exiting surrender charge protection, that's what's expected to increase over time.
Elyse Greenspan: And then my second question on capital return, percent five percent target in all of the four quarters of the year. And then, you know, given, you know, that we're almost done with Corebridge Forward, I'm assuming, should we just think about whole co cash, obviously, adjust for the billion of debt, think about, you know, what you want to have on hand is kind of, you know, annual needs, thinking about interest and dividend, or is there anything else we need to consider?
Elias Habayeb: No. Happy hey, Elyse. It's Elias. So with respect to the first part of your question on capital return, the baseline right now is 60% to 65% over the course of the year. And as you see, we've been other than for deploying the UK proceeds, we've been consistent over the course of 2024. In terms of the Holdco liquidity, you know, we ended the year at $2.2 billion. We had about a billion in for we prefunded for 2025. Putting that aside, we were still in a very strong position. And our philosophy is to hold cash equal to the parent needs for next year, which includes debt service as well as parent expenses, which are coming down, as well as for the dividend, which is different than what others might do. We prefund the full-year dividend from it. So the philosophy on how much liquidity we need to hold at the parent hasn't changed. That number has come down as we work through all the one-time expenses that pay the parents was covering.
Elyse Greenspan: Thank you.
Operator: Our next question is from Joel Hurwitz at Dowling and Partners. Please go ahead.
Joel Hurwitz: Hey, good morning. So the life results were strong in the quarter and for the full year. Guess, can you guys just mention how favorable mortality was both in Q4 and for 2024? Just trying to get a better sense of how sustainable these levels of earnings are in light.
Elias Habayeb: Hey, Joel. Hey. It's Elias. So listen, we've been working on improving the performance of our life business, and that's kind of coming through our numbers. Our run rate is, we think, is in the $110 to $120 range on a quarterly basis, on average for the life business, with the exception of the first quarter where seasonally we expect mortality to be higher by about $15, maybe $20 million. But I think the new run rate for us is you should be thinking around $110 to $120 a quarter other than the first quarter for the life business.
Joel Hurwitz: Great. That's helpful. And then just shifting to the new RILA product, can you just provide us how much that contributed to sales in the fourth quarter and any color on expectations for sales contribution in 2025?
Kevin Hogan: Yeah. Thanks, Joel. So, you know, we've observed RILA as an increasingly important product in the market. As seen in the fourth quarter when it looks like sales for the first time exceeded traditional variable annuity sales across the market. You know, in our case, we're very pleased with the RILA launch so far. You know, I would point out that some of the largest states have yet to come online, and some of our largest distribution partners, you know, won't come online until the first quarter or later in the year. But the response has been excellent. By year-end, we had already received, you know, over $90 million worth of applications. And so we came into the first quarter seeing strong momentum as some of our larger distribution partners are now coming online. So we feel this is a very good start, and we are looking forward to continuing to report our progress. You know, we do expect over time that, you know, we will attain our sort of national market share in this product alongside our other offerings.
Joel Hurwitz: Makes sense. Thank you.
Operator: Our next question is from Suneet Kamath at Jefferies. Please go ahead.
Suneet Kamath: Great. Thanks. On the surrenders in individual retirement, is there any way that you can help us size what you expect might happen in 2025? And are the spreads on that business pretty consistent with the overall segment, or are they different one way or the other?
Kevin Hogan: So, yeah, look, as I had pointed out, we do believe that the surrenders are going to reflect what, you know, market conditions are at a given time and interest rates and credit spreads. So, you know, at this point in time, we're not really projecting any dramatic difference from the, you know, the conditions that you would read into the forward curve. In terms of the, you know, increase in volumes, it's an incremental increase in volumes, but, you know, that also we expect is going to reflect the increase in the overall earnings in the portfolio. So it's impossible to predict what ultimate conditions will be, but we're comfortable with the fact that we're going to be able to continue to grow the general accounts and grow spread earnings over time once we get through the impact of the rate resets.
Elias Habayeb: Yes. Suneet, if you look at 2024, we had higher surrenders, but we had strong sales. And the net inflows of the general account was about $7 billion for the year, and we grew the general account and individual retirement by 9%. Looking into 2025, the fundamentals in this business and individual retirement, as Kevin said, are very strong. So even though we may have higher surrenders, we're expecting strong inflows into the general accounts for 2025. We expect to grow spread income in the business. You know, once we're past earning in the 100 basis points rate cut, we expect spread income to grow. The fundamentals in that business are very strong. Whether you want to look at market conditions, you want to look at the demographic conditions, and this fourth quarter, had it not been for the rate cuts, spread income would have grown sequentially. So we're bullish on the business. It's an important source of business for us, and we expect it to be continuing to grow and delivering strong results going forward.
Suneet Kamath: Got it. Okay. And then on the fixed annuities, it looked like on a sequential basis, your sales were down a decent amount more than the industry. Just wondering if there's anything unusual going on there, maybe more a focus on RILA or something else from a pricing perspective, and would you expect fixed annuity sales to grow in 2025 relative to 2024?
Kevin Hogan: Thanks. Yeah. Thanks, Suneet. I mean, we price very dynamically relative to the market. Normally, we replace our fixed annuity business on a weekly basis. And, you know, there are micro cycles through the course of the quarter that reflect where, you know, our pricing may be relative to others. Often when rates are increasing, certain parts of the curve, we can price ahead of that. And likewise, when rates are coming down, we can price ahead of that. And that's, I think, what you saw in the fourth quarter. The conditions, you know, our strategy is to focus the capital where the risk-adjusted returns are the most attractive at a given point in time. And so we saw very strong outcomes in the fixed index annuity in the first quarter. So it's not a matter of anything other than reflective of where we believe the competitive pricing was. We see a very robust environment for fixed annuities still, and it continues to be a very valuable product. There's a whole new range of advisers that have discovered the importance of fixed income-like products as part of a long-term retirement savings asset allocation, and we see that trend continue. And as, you know, as I pointed out and as Elias reinforced, new business conditions right now appear excellent. So we expect momentum coming through the year, and we do expect that, you know, we'll continue to focus our capital where the risk-adjusted returns are the most effective.
Operator: Thanks. The next question is from Jack Matam at BMO. Please go ahead.
Jack Matam: Good morning. Just a follow-up on the base spreads. An individual retirement, they fell 18 basis points sequentially. I think since you gave last quarter, probably something maybe closer to 10 basis points given the number of rate cuts so far. I guess, the remainder, was that just from the new business? Cost of funds impact that you mentioned or anything else you'd call out? And how would you expect base spreads to trend moving forward, excluding the impact of short-term rates?
Elias Habayeb: Hey, Jack. It's Elias. So the three basis points impact from rate cuts that we gave on the last quarter was for the full company. So with the floating rate exposures concentrated in individual retirement, you gotta multiply that by two. Just in the denominator is almost half the total company denominator. So you've had 100 basis points worth of cuts, let's ignore December, if you just go through November. That would imply 18 basis points of reduction in base yields and then individual retirement if all three cuts fully earned that. Now they lose all fully earned in given timing and the timing of reset, but what we're seeing is the majority of the 18 basis point compression in the base spreads in individual retirement is coming from, you know, the impact of the rate cuts as well as the impact of us reducing our floating rate exposure. And if you look at the investment portfolio, we reduced our floating rate exposure from about 8% to 6% in the portfolio at the end of December through a combination of additional hedging or just a natural runoff of the book from it. So the margin compression was small and kind of in line with our expectation when you think in terms of base spreads this quarter.
Jack Matam: That's helpful. Thank you. And just a follow-up on the capital generation. Is the 5% to 10% growth rate a good proxy for kind of a longer-run growth that you would expect? I guess for 2025, is the outlook at all impacted by sales levels? Like, if sales moderated this year, would that potentially drive kind of better near-term cash flows with less new business strain?
Elias Habayeb: So listen, there's different variables that influence how much capital we generate. So sales, you know, the profitability of the business, all those are variables. We're very disciplined in how we manage our balance sheet and how we allocate capital, giving priority to maintaining a strong balance sheet and delivering on our capital management objectives. And, you know, we look at the capacity to support new business in there, which is important to continue investing in the company to grow earnings and cash flow over time. As a baseline for the next couple of years, a 5% to 10% increase in the annual dividend is a kind of a fair assumption right now.
Operator: Thank you. Next question is from John Barnidge at Piper Sandler. Please go ahead.
John Barnidge: Morning. Thanks for the opportunity. Looks like institutional markets businesses had three good funding agreement distribution and pension risk transfer continues to have some volume. In your pipeline commentary, it seemed upbeat on that. Can you talk about how the impact of some of the industry litigation is impacting your opportunity or the volumes in the market? Thanks.
Kevin Hogan: Yeah. Thanks, John. You know, I'm not going to comment, you know, a lot about it. I think that the insurance industry, you know, is very well positioned with the mechanisms that it has to protect policyholders. Fundamentally, some of these lawsuits seem to be, you know, challenging, you know, that element of the regulatory mechanism of the insurance industry. It's, you know, we haven't seen any impact whatsoever relative to the pipeline and the willingness of plan sponsors to transact. You know, as you pointed out, you know, we have, you know, it's just the time of the IPO, committed to being a more regular, disciplined issuer. And we expect to continually, incrementally grow our GIC and our FABN portfolio. And we continue to be, you know, disciplined but optimistic about our pension risk transfer business both in the US and the UK, where the pipelines are very strong. The conditions remain supportive, and clients appear, you know, prepared to transact.
John Barnidge: Thank you. My follow-up question, stick with institutional markets. Do you use ASR capital regime change in Japan as an opportunity for Corebridge to participate in? Thank you.
Kevin Hogan: Well, you know, it's a significant development for the market there, and, you know, if you look at other markets that have introduced similar solvency regimes, that certainly has, you know, created opportunities. And, you know, we do believe that there are opportunities that we can explore. Our institutional markets business has been, you know, in a good position to engineer and risk manage large transactions, and expanding our position as a reinsurer beyond the UK, where we focused on the pension risk transfer market, is certainly an opportunity that we're exploring.
John Barnidge: Thank you.
Operator: Our next question is from Tom Gallagher at Evercore ISI. Please go ahead.
Tom Gallagher: Morning. The elevated expense in individual retirement on DAC amortization and non-deferrable insurance commissions. Can you talk a little bit about what's happening there, and do you expect this sort of elevated level to continue into 2025?
Elias Habayeb: Yeah. Hey, Tom. It's Elias. So the commission on is a good expense. It's because we're growing the business. And so that should be viewed as sort of a run rate going forward. And on the DAC piece, it's a combination of type to volume as well as the sensitivity to rates with the significant rise in, like, long-term rates. In the fourth quarter, there's an acceleration in the amortization on it. But none of these items have any impact on our ability to grow EPS or deliver a 12% to 14% ROE or deliver a 60% to 65% payout ratio. I look at it as a growth component. That's a good thing. We're growing the business.
Tom Gallagher: No. That makes sense. I guess my follow-up is can you quantify the FA and FIA blocks that are exiting surrender charge in 2025? Can you tell us the amount, the AUM amount of those, and do you, as those come off surrender, presumably, they're lower crediting rate, you try and aggressively defend those? Do you look to raise crediting rate to retain them? You have, like, an ongoing retention program, or is it just, you know, you let them play out as they will?
Kevin Hogan: Well, Tom, we've been in the fixed and index annuity business for a long time consistently, and managing the economics of new business versus crediting rates on the in-force is an extremely important part of our analysis and management of this business. And, actually, earlier in the interest rate cycle, we talked about this, you know, quite a bit. I mean, we look at the economics of increasing crediting rates on the portfolio versus, you know, the attractiveness of relative new business. You know, even surrender rates when they're, you know, 10% or 12% or 14%, to increase crediting rates, you're essentially paying the other 86% of the portfolio or 88% of the portfolio in order to protect, you know, 12% or 14% of it. And so, you know, we do factor into the economics what our crediting rate strategies are. So in terms of specifically retention-type strategies, I mean, we have to be cognizant of the fact that the advisers that we work with are focused on the best interest of their customers. And so, you know, it's really maintaining a competitive position on new business. And managing the liquidity necessary to support the surrenders is the management element of the behaviors that we're most focused on.
Tom Gallagher: And then the size of those?
Elias Habayeb: So listen. You know, we're not providing kind of details on it. The dollar amounts will increase, but, Tom, what's more important is the net flows, and we expect the net flows in the business to be very strong for 2025. You saw what happened in 2024. That was roughly $7 billion of net inflows, and we expect 2025 to be another strong year and continue to grow our individual retirement business.
Operator: Thanks. The next question is from Wes Carmichael at Autonomous Research. Please go ahead.
Wes Carmichael: Hey. Good morning. Thank you. On group retirement, you had a couple of lumpy outflows in the quarter. It seems like core flows ex those was relatively in line with your expectations, but are you aware of any more of those in 2025? I think you said nothing really in the first quarter, but anything longer term?
Kevin Hogan: You know, there's a fair timeline between when we learn of large account decisions to consolidate or move to another provider. And we'll continue to, you know, provide a heads-up when we have large accounts that we have learned, you know, have made a decision that results in a surrender and an outflow for us. What I would point out is that whilst we had, you know, some large surrenders and outflows in the fourth quarter, the bulk of those assets were group mutual fund assets, which have a lower, you know, immediate impact to earnings. And it's important to monitor, you know, the sort of, you know, spread-based versus fee-based assets, and that's why we provide that disclosure in the financial supplement. Not every dollar of outflows is equal, and, you know, we continue to, you know, grow our out-of-plan and advisory brokerage base in this business, and it continues to be, you know, a very attractive contributor to, you know, our portfolio over time.
Wes Carmichael: Okay. Gotcha. And regarding the Blackstone relationship, can you just update us on how much Blackstone's currently managing in the general account? And any perspective on how you view the yield uplift net of expenses on that portfolio on a relative basis?
Kevin Hogan: Yeah. The Blackstone partnership is very productive, and the origination, you know, continues to be very attractive. It's helped support some of our new business sales and our new money rates. You know, the book value at the end of the year is about $69 billion in assets. And, you know, in the third quarter, they originated just under $4.5 billion with a coupon of just under 6.6%.
Wes Carmichael: Thank you.
Operator: Thank you. This now concludes the Q&A session. I will hand the floor back to Kevin for closing remarks.
Kevin Hogan: Before we end the call, I want to welcome our new partner, Nippon Life. We look forward to working with Nippon and exploring how we may collaborate and learn from one another. I also want to take a moment to thank our many partners who helped us deliver another strong year. And finally, I would like to thank everyone at Corebridge. All of you worked so hard to achieve our success while at the same time living out our larger purpose to make it possible for more people to take action in their financial lives. Operator, you may end the call.
Operator: Thank you for joining today's Corebridge Financial fourth quarter 2024 earnings call. You may now disconnect.